Operator: Ladies and gentlemen, thank you for standing by and welcome to the Interactive Brokers Group Third Quarter Financial Results. At this time, all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference maybe recorded. [Operator Instructions] I would now like to hand the conference over to your speaker Nancy Stuebe, Director of Investor Relations. Please go ahead, ma'am.
Nancy Stuebe: Thank you. Good afternoon, everyone. Thank you for joining us to review our 2019 third quarter performance. Thomas is on the call, but has asked me to present his comments on the business. He will participate in the Q&A. As a reminder, today's call may include forward-looking statements, which represent the company's belief regarding future events, which by their nature are not certain and are outside of the company's control. Our actual results and financial condition may differ possibly materially from what is indicated in these forward-looking statements. We ask that you refer to the disclaimers in our press release. You should also review a description of risk factors contained in our financial reports filed with the SEC. The third quarter of 2019 was a strong one for Interactive Brokers. Commissions were $187 million, the third highest in our history, and net interest income reached a record $291 million on a net interest margin of 1.77%, also a record. At our electronic broker, total accounts grew by 16% and client equity topped $156 billion, leading to brokerage revenues exceeding $0.5 billion for the first time and generating a 65% pre-tax profit margin. This occurred despite modest volatility with the average VIX Volatility Index rising to 15.9 versus a low volatility quarter last year. This increase, combined with having more clients on our platform, helped lead us to a 13% increase in total DARTs. As we have stated for some time, we focus on growing our customer base in all client segments and geographies as this generates more activity both from new customers coming on to our platform and especially in periods where we see volatility increasing from all customers trading more during these periods. These numbers are impressive, but they are now in the past. I will share some of what we are working on for the quarters ahead. Since the inception of our Electronic Brokerage business, we have prided ourselves on our commitment to offering the best platform for our customers. To us, this meant best execution by routing orders directly to a venue and not selling customer order flow. It meant routing our customers’ orders to whichever venue is likely to offer the best price for that specific security at that particular time. Best platform also meant paying a transparent high interest rate on idle customer cash and charging a transparent low rate on margin loans. More recently, we found that not everyone shared our definition of what is best. To some investors, best meant paying zero commissions first and foremost. If this is what some of our customers wanted, we decided to oblige. We therefore introduced IBKR Lite on September 26, and rebranded our existing offering as IBKR Pro.  On IBKR Lite, investors from the U.S. will pay zero commissions on U.S. stocks and ETFs and like our customers always have will pay no base cost on options trade. As disclosed to our customers, Lite orders will be routed to liquidity providers and return for payment for order flow.  IBKR Lite clients will also receive interest on their idle cash, higher than at many of our competitors, and less than that of our IBKR Pro platform and pay some of the lowest rates in the industry on their margin borrowing, so higher than that of our Pro platform. There will be no account minimums, inactivity fees, or market data fees. A wide variety of other products from our stock yield enhancement program, international securities, bonds, and futures will be available at a regular low rate. IBKR Pro represents our award-winning platform, with third party confirmed best price execution, low-tiered rates on margin loans and commissions, access to markets and products around the globe, and access to all of our trading algorithms, analytics, and technology. Because we are so automated and keep our costs low, we are able to offer our Lite platform with low margin lending rates and positive cash interest rates. It appears some of our zero commission competitors think zero should also apply to the interest paid on cash in the customers' brokerage accounts. IBKR Lite rates are higher than IBKR Pro for margin loans and lower for interest paid on customer cash, and we receive payment for their order flow. So, the IBKR Lite platform is revenue neutral to us. New customers who use the Lite model will bring us a new revenue stream. So, we’ve positioned ourselves to capture new revenue without giving up existing revenue. In addition to IBKR Lite, we undertook a number of initiatives and expanded our range of offerings this quarter. We constantly seek to improve our platform and to bring it to more potential clients. This quarter saw the introduction of new portals for introducing Broker and EmployeeTrack clients, a significant new improvements to the RIA platform. All these features not only offer robust functionality, but have also benefited from major improvements in navigation, workflow, and design. Our BondDesk added a direct connection to market access, an alternative trading system that can be accessed on our trader workstation. Interactive Brokers currently supports high yield and emerging market bonds, and we anticipate adding other fixed income asset classes in the near future.  On June 30, we were proud to announce our new bet, learn, win simulated sports betting exchange. This operates as a peer-to-peer market where participants can buy, sell, and trade bets on actual sporting events in real time. Players get $1,000 in virtual dollars, euros, pounds, or Canadian dollars and use it to buy or sell simulated sports bets. Winnings can be converted to up to $1,000 and free commissions once a participant has opened an Interactive Brokers account. Once again, our goal here is to broaden our possible audience by attracting customers more familiar with the probability as a spectator sports and with financial markets.  While it is too soon to talk about impacts, we are seeing conversions from the simulated sports betting accounts to actual funded IBKR accounts, which was our objective with this promotion. We also recently rolled out access to the Russian Stock Market to our clients worldwide. And finally, as of last Monday, our shares are listed back on NASDAQ under the same ticker IBKR. We believe the NASDAQ listing is best for our shareholders and we look forward to working with them. Now for the breakdown by customer type of how our brokerage business is evolving. We once again saw strong growth in accounts and client equity. However, we saw weaker conditions outside the Americas, as some markets fell including the Nikkei, Hang Seng, and FTSE 100 indices. As of September 30, individual customers made up 50% of all accounts, up 17% over the prior year, 35% of customer equity, up 9%; and latest 12 months commissions were 51% of total, up 2% from last year. Customer equity growth was stronger in Europe and Asia this quarter, while commissions were up in the U.S., but weaker outside it. Hedge funds were 1% of our accounts, up 3% for the 12-month period, 9% of our client equity, up 3% and 9% of our commissions, down 5% on weakness in Asian markets. Our price execution, low overall costs, and high cash interests continue to attract institutions both large and small. Proprietary trading accounts were 2% of accounts, up 11%, 10% of client equity, up 11% and 15% of commissions, down 5% again mainly due to weakness in international markets, particularly Asia. Registered Investment Advisors represented 16% of our customer accounts, up 9% for the latest 12 months, 23% of our customer equity, up 4% and 16% of our commissions, down 2%. Again, overseas markets declined most in commissions. Finally, introducing brokers are 32% of our customer accounts, up 19% over the last 12 months, 23% of our customer equity up 20% and 9% of our commission income up 6%. Introducing brokers outsource their back office to us reducing their operational, regulatory and compliance burdens. These services in addition to the growing population of new investors in developing countries many of whom watch trade internationally help drive the expansion of our customer base. We look forward to a resolution of trade issues in Asia, but we have not yet seen much change in the ability of Mainland China accounts to fund as they had in the past. However, we are more diversified in terms of the countries and companies we provide our I broker services to and are seeing growth worldwide in every region where we operate. And one last note about Interactive Brokers future. The last day of September was my 75th birthday and as I promised earlier this year, October 1st marks the day when Milan Galik, our President became our CEO, while I will remain Chairman. I do not plan on sitting on the beach, I find that much too boring. Well, I will be involved in strategy as much as I have been, Milan will be the one calling the shots. So I'm not going anywhere. This is the beginning of a new chapter and what will prove to be the long successful story of Interactive Brokers. And now Paul Brody will take you through the numbers. Paul?
Paul Brody: Thank you, Nancy. Welcome everyone to the call. Thank you for dialing in. I'm going to review our results as usual put our numbers into context within the current environment and then my comments will follow the format of the earnings release and then we'll take some questions. Starting with operating metrics, they reflected fairly active trading in a moderate volatility environment, volatility is measured by the average VIX, rose to 15.9% this quarter, a 23% increase from a low 12.9% in the year ago quarter. Once again the average masked some intra-quarter variability, as the VIX sell in July recovered well in August and declined again in September. This erratic volatility contributed to a mixed year-over-year volume results with increases in clear customer options and futures contract volumes and decreases in stock share volume. As usual, those were led by low price stocks in Hong Kong. Foreign exchange dollar volume was down as well. Total accounts reached 666,000, up 16%, which contributed to customer equity growth of 10% to $156.6 billion at quarter end. With the continued tailwind from new account growth, our quarterly total DARTs were 859,000, up 13% over last year. In this quarter our overall average cleared commission per DART fell 2% versus last year to $3.69 on a product mix that featured smaller average trade sizes in most product segments. Moving to our net interest margin table, our net interest margin widened to 1.77% from 1.68% in the third quarter of 2018. The Federal Reserve reduced rates by 25 basis points twice this past quarter in July and September, after raising them 4 times over the course of 2018. As these rates were not in effect for the entire period, we should see the full effect of them over the coming quarters. On a year-over-year basis, the average Fed funds rate was somewhat higher this quarter, which generally leads to higher net interest income. But because our customer interest rates are pegged to market benchmarks, the increase in our net interest income from benchmark related components is primarily due to rising customer cash balances. The same is true on a sequential basis, despite The decline in average Fed funds rate, our net interest income rose along with customer credit balances. We believe our continued success in asset gathering can lead to larger contributions from interest sensitive assets going forward. As the yield curve remained flat to inverted, we have maintained a short duration in our fixed income portfolio and we recorded a modest mark-to-market loss this quarter of $2 million on our holdings of U.S. treasuries. As a reminder, we plan to hold these securities to maturity and as brokers GAAP rules require us unlike banks to mark them to market in our financial reporting. Our FDIC Insured Bank Deposit Suite Program continues to grow reaching $2.2 billion. Segregated cash management and securities lending were the most significant contributors to our net interest margin. Driven by higher customer cash balances and higher average Fed funds rate versus last year, our segregated cash interest income grew 68% over the prior year quarter. As a reminder, there are two factors that can cause the change in yield on our segregated cash to differ from a change in the Fed funds rates. First, currently about 25% of our customer credits are not in U.S. dollars; and second, even with an average duration of our investments under 40 days, there is some lag time in reinvesting in new rates. Typically our effective interest yield would not follow a change in the Fed funds rate immediately. The increase in segregated cash is a function of both the growth in our accounts and the decrease in margin loans. Securities lending interest income rose 43% from a year ago quarter, as we satisfied the high demand for several hard-to-borrow names that investors fell short. Average margin loan balances this quarter declined from the stronger borrowing demand we observed in market environment of last year's third quarter. Offset somewhat by higher year-on-year benchmark Fed funds rates margin interest income declined 4%. Now for our estimate of the impact of the next 25 basis point change in rates. Market expectations of rate changes are typically built into the yields and the instruments in which we invest. Therefore, in our calculation, we attempt to isolate the impact of our earnings of an unexpected rise or fall in rates separate from the impact of rate hikes or cuts that have already been baked into the prices of these instruments. We would therefore expect the next 25 basis point unanticipated increase or decrease in rates to result in $21 million higher or lower respectively, net interest income as a yearly run rate. Turning to the segments, Electronic Brokerage turned into record performance in a modest volatility environment. Net revenues are $506 million for the quarter, up 14% over last year. Pre-tax income was $331 million, up 13% and excluding marks on our treasury investment portfolio pre-tax income was $508 million for a pre-tax margin of 66%. Execution and clearing expenses were $64 million, up 19%. As a note, last year, we received a $3 million fee rebate from the OCC from a program they have since discontinued. Without it execution and clearing would have been up 13% in line with the increase in commission revenue. Fixed expenses and brokerage were $113 million, up 14%, driven by increased legal and compliance expenses. Higher compensation and benefits in line with our hiring to support the growing brokerage business were a secondary factor. Customer bad debt expense was a negative $2 million as we were able to recover some previous losses. Market making today consists of the customer facilitation business, we will retain as well as three markets outside the U.S., which we continue to evaluate. Net revenues are $17 million, of which $7 million were trading gains and the bulk of the remainder was net interest income. Market making pre-tax income was $8 million. The corporate segment reflects the results of our strategic investments and the effects of our currency diversification strategy. For the third quarter, we recorded the mark-to-market loss from our investment in Tiger Brokers of $13 million. Like to-date on this investment, we have recognized the net gain of $16 million. We will continue to mark this investment to market each quarter, which may lead to further variability in our corporate segment earnings for as long as we hold this position. As to currency diversification effects, we carry our equity in proportion to a basket of 14 currencies, we call the GLOBAL to best reflect the international scope of our business. As the U.S. dollar strengthened against all other major currencies this quarter, we incurred a net loss from our strategy of about $74 million, of which $47 million is included in earnings and $27 million is reported as other comprehensive income. We estimate the total decrease in comprehensive earnings per share from currency effects to be $0.15, with $0.09 reported in other income and $0.06 reported as OCI. Turning to the income statement, net revenues are $466 million up 6% from a year ago, adjusted for non-operating items net revenues were $525 million, up 14% over last year. Non-operating items include $47 million loss on our currency strategy, a $10 million loss on marking our investments including Tiger Brokers to market and a $2 million loss on our treasury marks. Commission revenue rose 12% on significantly higher volumes in futures and options somewhat offset by lower volume in stocks with smaller trade sizes in most product categories. As we noted earlier, the small decrease in our overall average cleared commission per DARTs $3.69 reflect its smaller trade sizes across most product segments. Of our $291 million in net interest income brokerage produced $283 million, market making $9 million and corporate the remainder. Other income which includes our GLOBAL currency strategy marks-to-market on our Treasury and Tiger Brokers investments, and other fees and income we receive, with a loss of $19 million. The GLOBAL and the investment in Tiger Brokers and treasury marks returned losses while other areas of other income primarily fees showed offsetting revenues that were slightly lower than a year ago quarter. Non-interest expenses were $185 million for the quarter up 13% from last year. The increase was spread across several categories, including a 19% increase in execution and cleaning costs were up 13% when excluding that $3 million clearing fee rebate we received last year. And the higher employee compensation and G&A costs in support of our growing brokerage business. At quarter end our total headcount stood at 1,581, 15% increase over the year ago total. We have been hiring most aggressively in the areas of compliance, client services and systems development. The largest fixed component of our non-interest expenses employee compensation and benefits, accounts for 14% of net revenues. In general, these expenses reflect the opportunities we see to expand our business or automate it further; we do not have a fixed percentage increase that we seek to achieve. Pre-tax income of $281 million was up 2% and represented a 60% pre-tax margin and adjusted for the non-operating items I mentioned previously pre-tax income was $340 million, up 14% and represented a 65% pre-tax margin. Diluted earnings per share were $0.45 for the quarter versus $0.51 for the same period in 2018. Comprehensive diluted earnings per share, which includes all currency effects were $0.39 for the quarter versus $0.50 last year. And without the impact from non-operating items, diluted earnings per share would have been $0.57 versus $0.56 last year on the same basis. To help investors better understand our earnings, the split between the public shareholders and the non-controlling interest is as follows: Starting with reported income before income taxes of $281 million, we deduct $4 million for income taxes paid by our operating companies which are mostly foreign taxes. This leads $277 million of which 82% or that $225 million reported on our income statement is attributable on non-controlling interest. The remaining 18% or $52 million is available for the public company shareholders, but as this is a non-GAAP measure, it's not reported on our income statement. After we deduct taxes of $16 million out on this $52 million, net income available for common stockholders is $36 million you see reported on our income statement. The income tax expense you see on our income statement of $20 million consists of the $16 million paid by the public company plus the $4 million paid by the operating company.  Turning to the balance sheet, it remains highly liquid with low leverage. We are extremely well capitalized and have the ample capital to support our growth. We hold excess capital in order to take advantage of opportunities as well as to emphasize the strength and depth of our balance sheet. And we continue to carry no long term debt. At September 30, margin debits were $26 billion, a decrease of 16% from the more risk on environment we saw last year, and as we've mentioned in the past, this figure will likely show some swings due to our success in the attracting institutional hedge fund customers who are more opportunistic in taking on leverage. Our conservative balance sheet management supports the growing worldwide margin lending business. Our consolidated equity capital at September 30, 2019 was $7.7 billion, $6.5 billion was held in brokerage, $0.9 billion in market making and customer facilitation activities, and the remainder in corporate. Now I'll turn the call back over to the moderator and we can take some questions.
Operator: Thank you. [Operator Instructions] And our first question comes from Rich Repetto with Sandler O'Neill. Your line is open. 
Rich Repetto: Yes, good evening, Thomas and good evening, Paul. I guess, my first question is on the new offering IBKR Lite. I am just trying to see some of the early results if you could give us any color or any sort of information on how it's going IBKR Lite so far?
Thomas Peterffy: So, IBKR Lite came online yesterday morning. 
Rich Repetto: I thought it was October 1, I'm sorry. 
Thomas Peterffy: So, there is not an awful lot I can tell you about it. Previously yesterday, we had a few test accounts from customers that have expressed their interest to try IBKR Lite. And so, yesterday -- in the course of yesterday, we had actually 35 new IBKR Lite accounts. So, that's basically, there is not much I can tell you about it. The average assets in account are $52,000, and on the average they hold $24,000 of that in cash.
Rich Repetto: Got it. Okay, my apologies. I thought it started at the beginning of the month.
Thomas Peterffy: Yes, it's okay. 
Rich Repetto: Next question, Thomas. So you've seen a number of the other -- all the other online brokers go to zero. And I'm just trying to see, do you think that that will have any impact on IBKR Pro or do you see any -- you have the Lite offering. And I guess everybody speculating it, the difference between IBKR Pro and zero – is that your bargain has been reduced I guess is what they're saying?
Thomas Peterffy: Well, that is true. We did not expect such a swift reaction in the sense that we thought that we come out with IBKR Lite as an additional offering and that we go on for a while and will attract some customers and then eventually other people will start reducing and maybe all go to zero. So this very swift reaction was a surprise to us. We learned from it, we understand that we – usually, we ever gain anything from announcing and disclosing, and we are always better off if we do not confirm and do not deny. So, that is what we’re going to do in the future in similar circumstances. So now -- what are you actually asking me, can you repeat it?
Rich Repetto: Yeah, I was going to say , do you contemplate any changes to IBKR Pro going forward given what the industry has done?
Thomas Peterffy: No, we’re not contemplating any changes to Pro. I think that most of our Pro customers are sophisticated, some who are not may go over to Lite and that is completely okay with us. Pro customers understand that they benefit from -- and the 1% difference in favorable difference to them on interest on cash balances and lower interest on margin borrowings, and some of these very sophisticated customers also understand that their orders will not be welcomed by the high frequency traders. So, they don't have much of a choice anyway.
Rich Repetto: Understood. And very last question, the smart order router that you -- that IBKR Pro clients use, you say it’s revenue neutral and it's easy to see the payment for order flow could offset the -- whatever it was a 222 equity commission, at least I think it was in August as well, but can you just maybe give us your view of the value of the smart order router? Is it and -- yes, the value that the client gets from that using the smart order router?
Thomas Peterffy: Well, I think that we will be able to provide exact numbers in about a couple of months or maybe three months. As you know, we have these monthly stats that we regularly disclose on the first day of each month where we calculate the all-in execution cost for all of our customers. And as of now, we have bifurcated into two segments, we will obviously calculate that difference, recalculate those numbers for both segments and that difference will be apparent, and so rather than speculate about that why don't I just leave it at that.
Rich Repetto: Sounds good, that's all I had. And good hearing from you, Thomas.
Thomas Peterffy: Thank you.
Operator: Thank you. And our next question comes from Will Nance with Goldman Sachs. Your line is open.
Will Nance: Good afternoon, everyone.
Thomas Peterffy: Hi, Will. 
Will Nance: So, maybe to follow up on the IBKR Lite platform, are you seeing any demand for some of the foreign markets that you guys operate in for a product like that? And I guess assuming the rollout goes smoothly, is that something that you would consider in other markets?
Thomas Peterffy : So, first of all, you don't have the same high frequency trading activity in foreign markets that you have in the U.S. So, there is nobody clamoring to buy our order flow in foreign markets, so that by itself is a limitation. Well, on the other hand, Canada is one place where we would consider going to zero, but otherwise there is no -- we don't have anybody that we would compete with anywhere. So, no, the answer is no.
Will Nance: Got it, that makes sense. And I guess of your commission revenue, do you have a sense for how much is coming from kind of U.S. based accounts versus what's coming from abroad?
Thomas Peterffy: I have some sense, but I don’t know that by product. And don't forget, we basically, we derive more commission from options than from stocks, and futures commissions are also a significant part, so is ForEx. So, we haven't broken that out.
Will Nance: Got it. No worries. And then maybe one for Paul, I guess the expenses came in a little better this quarter, I guess any commentary on the run rate of expense growth that you're looking at as you kind of look out over the next year?
Paul Brody: Well, the direct expenses always expand and contract with the volumes. So, those were in line, as I mentioned ex that $3 million rebate from last year. The employee comp benefits, you'll see it was down somewhat but of course, you have to compare as we disclosed last quarter that is when our stock incentive plan shares grant – vested grants, so there's additional expense in the second quarter. So, as a runway, we're probably more in line this quarter. And, not much special on the others, other than generally speaking, compliance is an area that simply takes up more and more expense, both in comp and benefits as we increase staff and our resources there, and also in responding to regulators and so forth.
Will Nance: Got it, that's helpful. I appreciate you taking my question today.
Operator: Thank you. And our next question comes from Kyle Voigt with KBW. Your line is open.
Kyle Voigt: Hi, good evening. Just on the IBKR Lite offering, when you announced the offering obviously it was very differentiated because of that zero commission rate. But others in the industry have obviously moved to cut rate to zero since then. Just wondering if there's anything that you're willing to do or give clients from a promotional standpoint to help differentiate that IBKR Lite offering versus all the others zero commission offering that now exist in the industry?
Thomas Peterffy: Well, our platform is still differentiated in the sense that the software is more suitable for more sophisticated clients. And although the Lite is fairly simplified, But nevertheless, our more sophisticated clients would have reams of benefit from our platform vis-à-vis the competitors. Also we have -- obviously we have the ability to trade many, many different markets around the world. And also create futures along with stocks and options you can also trade -- we also have online bond trading capability. And that's basically it. Yes, and of course I mean people who for example want to -- are considering going short, it's very unique that we display our short inventory and the rate at which you can borrow or lend stock to us.
Kyle Voigt: Right.
Thomas Peterffy: Honestly anybody else thought. Although, again the typical Lite customer would probably not be interested in that. Although, the surprise is that of the 35 customers who come today -- on yesterday, some of them as short portions.
Kyle Voigt : Has there been an increase in inbound client call volume regarding or since the move to zero commission by the industry. I'm just wondering, if you've noticed any change in kind of client -- your client behavior since the last round of commission cuts has gone through?
Thomas Peterffy: I must confess to you that I don't keep up to date on client calls, I'm sorry.
Kyle Voigt : Okay. And then just on the increase in the net interest partially offset related to the high demand plus hard to borrow names. Was there something specific that happened in the quarter that you can note it was just a very large increase sequentially there?
Paul Brody: Yes. Well, as we generally say, the earnings coming from securities lending in general are driven by not only the breath of our coverage, but very much by the specials that show up in any given time. And, how hard to borrow are they, how much is the market willing to pay in terms of interest rate and how long did that lasts for.  So there were certainly a couple of drivers recently probably names that you have heard in the news and we position ourselves to take advantage of that, because we've developed all of our securities lending and inventory management systems in-house. And so they're quite specialized at doing an efficient job that captures as much of that lending as possible.
Kyle Voigt: Okay, thank you. And then just lastly for me, Thomas just given the CEO transition, could you just go into I guess, like what has changed in terms of the day-to-day or strategic direction of the company in terms of decision making, like, what Milan is doing, how involved you'll be from a strategy standpoint? And also if we could expect to hear Milan on these -- and join you on these calls on a go-forward basis if that's in the cards? Thank you.
Thomas Peterffy: Well, somebody has to do the work and Milan does the work terrifically well, so I will paid to get him into this stuff because, it's -- I mean, I understand that you guys would like it. But you can all come to our annual shareholder meeting and Milan is always there and you're free to talk to him and ask him whatever you want. Other than that, I'm working very hard on restraining myself from interrupting him every hour about various questions and I hope that I'm -- I'll be successful and I will interfere less and less as time goes by. I am trying.
Kyle Voigt: Thank you, Thomas.
Operator: Thank you. And our next question comes from Chris Harris with Wells Fargo. Your line is open.
Chris Harris: Great. So, obviously there has been a lot of changes in offerings across the industry on commissions and everything else. I'm sure you guys are keeping track of that. One thing that's interesting to us is if you look at Fidelity's revised offering, they're offering zero commissions, and they do not accept payment for order flow. So I think they're the only broker that has that combination. So I guess my question is from an execution perspective is what Fidelity offering superior to IB Lite and other competitors?
Thomas Peterffy: So they do not accept payment from order flow, but they're out to the same paper, if you look at the 606 report, there was they are out to Citadel and they are out to Virtue, and so do we and so does everybody else we know. And so, all that means is that whatever the payment is, they pass it on to their customer in the sense that they ask the high frequency traders to better that price by that payment by the entire payment versus other folks who break it up and I say okay, give 30% to the customer and 70% to me or something like that. That’s how it works.  So the difference is that Fidelity may conceivably give a better price on the average than other people do. But that is hard to confirm and hard to make certain that that is true. And some numbers that have come out from Fidelity are certainly very weird because they said for example that they improve the prize by $17 on the average on a 1,000 share trade and $17 on one side would be $0.034 on a 1,000 share quote on both -- $0.34 wide. And the high frequency trader must -- I mean they have some expenses and they would also like to make some profit. So, I do not understand how that works unless in the case of Fidelity it is conceivable that they do all kinds of other business with the same firms. And maybe they compensate them in some other way. And that's a possibility, but, I mean, there are too many unknowns there. So, don't ask me.
Chris Harris: Okay. No, thank you for that explanation. I appreciate the earlier comments about no plans to the pricing scheme at IB Pro. But I'm curious, when was the last time if you guys have ever changed the commission rates on the IB Pro platform?
Thomas Peterffy: We never we never have in case of -- I mean, our commission rates are tiered to volume. And so in a very few cases some large volume potential customer said to us would you do away with your very tough tier and the very tough to be referred with a very small volume. And I say it would be easier for us to keep track of everything if we didn't have to deal with that tier and then the uncertain cases we may agree to that. But that's basically it. I remember option commission's we reduced maybe a couple of times, not by much. And that's basically...
Chris Harris: Okay. And just one last one here for me. With all these loss revenues across the industry not for you guys but for obviously some of your competitors, there is renewed chatter about the potential for some industry consolidation. And so just want to get your perspective, what IB consider or take a look at a potential transaction, or do you guys feel like look what, you've got enough organic growth in front of it, maybe we need to entertain any kind of an acquisition or merger?
Thomas Peterffy: Well, I mean, we -- culturally we were used to growing our own business. And I think we're better at that than trying to digest another operation. And right now, it's would be especially complicated because, it's very hard to tell what these different operations would look like. So I don't think that we would be actively looking at e-trade that's probably what you have in mind. So, no, we would not.
Chris Harris: Thanks for taking the questions.
Operator: Thank you. [Operator Instructions] And our next question comes from Mac Sykes with Gabelli. Your line is open. 
Mac Sykes: Well, Happy belated birthday.
Thomas Peterffy: Thank you.
Mac Sykes: I did have a chance to look at the new platform, the gambling. I thought it was pretty interesting, but given some of the interest in the politics, especially as presidential I thought maybe kind of active odds on some of that, with all the candidates on the Democratic side might be interesting.  So my question is just kind of a follow up on Mr. Harris's in terms of consolidation for some of these smaller players, do you see the potential for them getting pushed more in terms of your introducing broker platform in the consolidation where they look to just adopt and take advantage of your scale and back office?
Thomas Peterffy: I don't think we would do that. I think there are other folks who are better at that sort of thing. We are looking to focus on our platform to expand the capabilities and to grow organically. That's what we want to do.
Mac Sykes: Okay. I guess, I was more in terms of evolving their models for their back offices to becoming introducing brokers, just adopting your model and white label...
Thomas Peterffy: Well, that we're always open to that it's up to them. 
Mac Sykes: And just could you also talk about sort of the back office aspects to how does the zero commission trading impact clearing and the economics there, if any?
Thomas Peterffy: I do not see how that would be related.
Mac Sykes: Okay. 
Thomas Peterffy: Paul, you have a different view? 
Paul Brody: No, I agree with that. It's all the front end pricing and the back end we're extremely efficient at and we do it in a low cost way that wouldn't change.
Mac Sykes: Thank you for taking my questions.
Operator: Thank you. And I'm showing no further questions at this time. I'd like to turn the call back to Ms. Nancy Stuebe for any closing remarks.
Nancy Stuebe: Thank you everyone for participating today. And as a reminder, this call will be available for replay on our website. We will also be posting a clean version of our transcript on our site tomorrow. Thank you again and we will talk to you next quarter end.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect. Everyone have a great day.